Operator: Good morning, ladies and gentlemen, and welcome to the InterContinental Hotels Group Conference Call. [Operator Instructions] I will now hand you over to your host, Tom Singer, to begin. Thank you.
Thomas D. Singer: Thank you, operator, and good morning, everybody. This is Tom Singer, Chief Financial Officer at IHG. Thanks for joining us today for our third quarter trading statement conference call. I'd like to start with a few remarks from our recent performance and our trading environment as we see it and then open up the call for your questions. We've had a solid quarter with growth in all 4 of our regions and a continued strong pace of signings. Global RevPAR was up 3.3%, driven mostly by rates, and it's up 3.6% for the 9 months to the end of September. In the Americas, third quarter RevPAR increased 3.7% with 3.5% in the U.S. Occupancy levels of 72% in the U.S. are almost 1 point higher than the 2007 peak for the same period. Along with the whole industry, RevPAR growth softened in September with group business slow to return after the earlier timing of Labor Day and Jewish holidays in the month. Our U.S. performance was led by robust RevPAR growth for our InterContinental and Hotel Indigo brands, but also reflects the more modest growth we've seen for our upper mid-scale brands, Holiday Inn and Holiday Inn Express. As we mentioned before, across the industry, this segment is more stable through the cycle with smaller peaks and troughs than those experienced by the upscale and luxury brands. Looking ahead, industry commentators are forecasting U.S. demand growth to be well ahead of supply growth for at least the next 2 years. In fact, U.S. industry demand has reached new peak levels for the last 31 months, and supply growth remains well below the historical 2% per annum average. Europe RevPAR was up 1.3% in the third quarter, despite facing some tough prior year comparatives in our key markets. In the U.K., RevPAR grew 1.5%, despite the year-on-year impact in August of the 2012 London Olympics. Our hotels outside the capital traded particularly well with RevPAR gains of almost 4%. In France, our growth of 0.4%, was more than 2 percentage points ahead of the industry. Germany continues to trade well, but the strong trade fair schedule in 2012 resulted in third quarter RevPAR, down around 3% year-on-year. This is a market with robust demand drivers. And in early October, we signed a multiple development franchise agreement for 5 new hotels with 1 owner across a number of our brands. In our Asia, Middle East and Africa region, we continue to see good growth with RevPAR up 5.4%, driven almost entirely by rates. In the Middle East and Africa growth remains mixed, with some countries, such as Egypt and Lebanon, experiencing ongoing high levels of political unrest. However, we continue to see a good performance in the UAE and Saudi Arabia. In Southeast Asia, the demand drivers remained highly compelling. At 10% RevPAR increase in the 3 months to September was driven by strong trading in Indonesia and Thailand. Performance was also strong in Japan, with RevPAR up 12%, reflecting increased international travel, helped by the favorable exchange rates and a relaxation of travel visas. Australasia was up 4% with Australia experiencing good corporate and group demand in Sydney and Melbourne. Sydney is an important city with significant business and leisure travel flows, where we've recently signed a management agreement to convert the renowned Double Bay Hotel to be an InterContinental hotel. This demonstrates the continued global success of the InterContinental brands, and we look forward to the hotel reopening early next year following its refurbishment. Greater China RevPAR grew 0.7% in the third quarter, driven by strong transient business, particularly from leisure guests. We, again, outperformed the industry, reflecting the scale and breadth of our portfolio and dedicated local infrastructure. At our half-year results, we talked in some detail about the compelling drivers of both domestic and outbound Chinese travel into the future. Continued growth in leisure travel amongst the increasing population of wealthy and middle classes with high disposable income, was seen in our resort hotel performance, up almost 20% in the period, excluding 2 hotels in areas impacted by natural disasters. We remain confident that the measures being taken by the Chinese government to rebalance the economy away from investments and exports and towards consumption, will drive long-term sustainable economic growth in China and are, therefore, positive for IHG. We signed 12 hotels in Greater China this quarter, taking our pipeline to 179 hotels as at the end of September. This is testament to the confidence our owners have in the prospects for the industry and the strength of our market-leading position. Let me now turn back and make some comments about the group as a whole. We opened 8,000 rooms in the quarter, including 5,000 for the Holiday Inn brand family, mostly in the Americas. China also had a good period for openings, with 2,000 new rooms added across 5 of our brands. In line with our commitment to high-quality growth, we removed 7,000 rooms in the period. We now have 679,000 rooms in our system, up 1% since last September. We often expect to open more hotels in the back end of the year and have a strong program of openings scheduled for the fourth quarter. Our pipeline is of high quality with 180,000 rooms, of which over 40% are under construction. Our pace of signings has remained strong. And at 16,000 rooms, is almost 20% higher than the same 3 months last year. In the first 9 months of the year, we signed more than 1 hotel a day on average, adding some 47,000 rooms, clearly showing the strength of our brands and the depth of our relationships with owners. This includes 28,000 rooms for the Holiday Inn brand family, up over 1/3 on the comparable period last year, demonstrated -- demonstrating the continued popularity of this 60-year-old brand with our owner community. Our preferred brands are at the heart of everything we do. And most recently, we're particularly proud of our InterContinental brand, which has swept the board at a number of award ceremonies. At the Business Traveler Awards, InterContinental won Best Business Hotel Chain Worldwide. And our new InterContinental hotel in London Westminster took the title for Best Newcomer. These accolades are particularly gratifying as they're voted on by our guests. Our new brands have also kept up in momentum, with 21 HUALUXE hotels and 4 EVEN Hotels in the pipeline. And we continue to expect to open the first hotel for each of these brands next year. We remain committed to the investment grade credit rating and an efficient balance sheet. In October, we paid the 350 million special dividend that was announced at the half year results, and we continue to make good progress with the 500 million buyback program, which has around 130 million left to complete. In August, the trustees of IHG's U.K. pension plan entered into an agreement to ensure the group's U.K.-defined benefit obligations with Rothesay Life. This is a great deal for IHG as it derisks our balance sheet by transferring investment, interest rates and longevity risk to a third party and removes the need for IHG to fund the plan into the future. As a consequence, we're no longer required to pay GBP 45 million of previously agreed contributions to the plan. And we've been able to release GBP 27 million that we had set aside as security when we sold the InterContinental London Park Lane. Although the plan had an actuarial deficit of GBP 132 million as of the last triennial review in 2012, under accounting rules, we have had to recognize the surplus that's now been eliminated as a result of the buy-in. As a consequence, in the second half of this year, there'll be an exceptional accounting charge of approximately $150 million, of which about $10 million will be a cash outflow. Finally, let me make some comments about the outlook. Current trading trends give us confidence for the rest of the year despite the ongoing challenges in some of our markets. Overall booking pace is up, with increases in both demand and rate for the rest of the year. Remember, though, that our forward visibility is only around 1 month, so this represents a fairly small proportion of the total rooms we expect to sell. Future travel intentions data collected from guests staying in our hotels, is also encouraging. Just over 60% of guests are saying they will travel more or the same over the next 12 months for business, and around 85% for leisure. Our strategy for high-quality growth and the considerable strength of our business model, including our resilient fee-based income stream, position us well for continuing success into the future. Finally, I'd like to remind you that we'll hold an educational event entitled Delivering High Quality Growth on the afternoon of the 19th of November, which will be webcast live. I'd now like to open up the call, and I'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Vicki Lee, Barclays.
Vicki Lee - Barclays Capital, Research Division: Just firstly, a bit more color, if you can on the system growth. I guess, was there anything special about Q3, either in terms of openings or exits? And then to the confidence behind the 2% to 3% for the full year, you commented that Q4 outlook is pretty good. So just color there, and perhaps, also on the exits we could think about in Q4 as well? Second question is just around China. I guess, there are quite a few moving parts, but just as you sit here today, how you think about the expectations both for RevPAR and supply into 2014? And then finally, just anything you can say in terms of the Barclay, an update regarding the sale process there, please?
Thomas D. Singer: Okay. Thank you, Vicki, for those questions. I mean in terms of system size growth, I mean clearly, openings, removals can be quite volatile from quarter to quarter, because it's not entirely within our control when hotels open. And we've always had our back end skewed to our opening program through the year. And I guess this year, it's probably going to be more pronounced than in previous years. So overall, we're comfortable with the way that system size has grown through the year to date. In terms of your second question regarding China, I mean clearly, the China numbers have had a lot of noise within them over recent quarters. We've had the impact of political leadership transition. We've had a slowdown in economic growth, and we've also had some natural disasters. And through all of that obviously, we've continued to invest in the business and grow the business. And we are encouraged by the performance of our China business, we continue to see us taking share and our brands continue to be preferred. In terms of the outlook for 2014, it's hard to say right now. We think we've got good momentum in the business. And given the range of factors that will impact next year, I wouldn't want to comment specifically on the likely outturn. But in terms of our business, it's trading well. And again, our strong pipeline, our strong opening program, the confidence that we have from owners all point to a -- it's another successful year in 2014. And lastly on the Barclay, the process continues. But as of today, there's no new news that I can share with you. So I'm afraid we'll just have to await developments.
Vicki Lee - Barclays Capital, Research Division: Just one follow-up, just on the first point. The -- anything on the exit rate, actually as we look into next year, any sort of change in views on the number of exits?
Thomas D. Singer: Not really, no. Only to say, it can be volatile from quarter-to-quarter. And there's no additional guidance to be given at this point.
Operator: Our next question comes from the line of Tim Ramskill of Credit Suisse.
Tim Ramskill - Crédit Suisse AG, Research Division: Just not to sort of -- not to sort of stick with the same point for too long. But just back to the questions Vicki was asking regarding removals. I mean, if we look at the average number of removals from the system over the last 5 years, it's been about 25,000. You're probably going to be pretty close to that this year. Clearly that period, historically, included some of the work around Holiday Inn. So can you just be a bit clearer, perhaps, as to whether that sustained level of removals is likely, or you really want to pull out some specific factors from this year that would indicate that is not the case? Secondly, just with regards to signings, could you talk us through the sort of likely time frame you think before some of what have been very good signings recently, you can actually feed through into the openings? Would you still kind of use the sort of 2- to 3-year kind of rule of thumb as to when we might see that feed through? And then just a kind of fee-based margin question, if that's okay. Conscious today's just about revenues. But you talked at the interim results about the some of the second half weighting of costs you were expecting and that the strong margin you'd seen in H1 might not flow through for the full, for the full year. Is that still the case, or is there anything you can comment on today with regards to the timing of those costs?
Thomas D. Singer: Sure, Tim. Happy to pick those questions up. I mean in terms of removals, as I say, there's nothing fundamentally new in terms of what we would want to say. They have been higher prior to 2012. They were about 35,000 a year. And again, in the current year, we've had one-offs like FelCor, which have, clearly, elevated removals year-to-date. So the underlying pattern, I don't think has materially changed from what we've seen previously in recent quarters. In terms of signings, I mean, again, I'm glad you note that the signings performance has been very strong in the quarter and the pipeline's in good shape. And again, typically, it takes 2 -- between 2 to 4 years for a hotel to open. And it depends whether you're talking about a limited service hotel in the States, which tends to be at the shorter end of that time frame. Or if you're talking about a large full service big box in China, it can be 4, even 5 years on occasion. And on fee-based margins, again, as you say, we're not talking P&L today. So there's nothing really to add other than the fact that, again, we're expecting, on a full year basis, to show further improvement year-over-year.
Tim Ramskill - Crédit Suisse AG, Research Division: Can I just come back on the signings point? And maybe this is asking for too much information, but if you were to look at the sort of pipeline that feeds the pipeline, if that makes any sense, then is there a notable sort of level of increased activity? I guess, particularly the U.S. market is the key market for you guys in terms of perhaps, really moving the dollar in terms of your overall system growth. Are you seeing some signs of heightened interest about having those initial conversations?
Thomas D. Singer: I think in the U.S. over the last couple of quarters, there's been a very slight improvement in credit conditions, which means perhaps slightly more deals are being done. In particular for limited service products, typically also for conversions rather than new builds. But it's only a modest improvement in conditions. I think our signings performance is really testament to the strength of our brands and the fact that we can deliver good ROI for owners. At the end of the day, providing we're doing that, we should win a significant share of new signings. And as I said, we're very encouraged by the performance over the last 2 quarters. It's been very strong.
Operator: Our next question is coming from the line of Jarrod Castle of UBS.
Jarrod Castle - UBS Investment Bank, Research Division: Two questions, if I may. Some of your competitors, Marriott, Starwood talking about somewhere between 4% to 7% U.S. RevPAR growth into next year. Any views or comments on that and in terms of how you would perform or expect to perform relative to market expectations? Just secondly, on the share buyback, would you expect to complete the additional 150 million this quarter and next quarter? And when would you start to kind of think about another program, if that is appropriate?
Thomas D. Singer: Sure, Jarrod. In terms of what others have said about market outlook for the next year or 2, we don't give the same sort of forward guidance. All I would say is that demand continues to be at record levels. And we continue to have relatively muted new supply coming into market. And those trends, as we've said in previous quarters, have been generally supportive for REVPAR. So I think that gives us confidence in terms of the way the market's likely to develop next year. The other point that, again, I know is familiar to you is that preponderance of upper mid-scale products in the mix, that also affects our RevPAR growth. And that segment tends to be more stable over the cycle. So again, I know you guys have thought about that and factored it into your expectations of how we're likely to perform relative to the market as a whole. In terms of the buyback, again, we're not going to comment in terms of how long it might take us to complete the program, we've made good progress year-to-date. And in terms of speculating about future cash returns, what I would reiterate are our 3 uses of cash, which really are to invest in the business to drive growth, to pay a progressive sustainable dividend. And I think we've got a good track record in terms of returning any surplus capital to investors. And we'll have to wait and see what next year brings.
Jarrod Castle - UBS Investment Bank, Research Division: Okay. And just following on from the use of cash, I mean, are there any brands out there or potential acquisitions that look interesting at the moment?
Thomas D. Singer: No specific situations. And we don't speculate really on what might be available or not in the marketplace generally. We've made the comment before that we have fewer brands than many of our peers. And if there was a sensible deal out there, that will allow us to have additional brands to the portfolio, we would think about it. But we don't have to do that. We've got great organic growth baked into our pipeline. Any acquisitions, probably going to be bolt-on in nature. And of course, we've got 2 great new brands that we recently announced, which we hope to launch next year and get the first EVEN and HUALUXE hotels opened. So we've got plenty to work on. We certainly don't need to make acquisitions to continue to grow strongly.
Operator: Our next question comes from the line of James Hollins of Investec.
James Hollins - Investec Securities (UK), Research Division: Three for me. The first one is on European RevPAR. It looks like there's quite a few tough comps in there, I was wondering if you'd give me maybe a -- so something like closer to a like-for-like? Obviously, you had Olympics, a lot of trade fairs across Europe. Would it be -- instead of 1.3%, sort of north of 2% as you saw in Q2? And the second question was on Americas occupancy. I think according to my numbers, you're now at a 10-year high in terms of occupancy. I mean, obviously, we've got a pretty benign supply environment. I was wondering how much further you think there is to go on that. And the third one was just, I don't know if I missed it, but the InterContinental London, the new one you're announcing, just a bit more detail on where it is, is it a conversion of another hotel and is it a management contract?
Thomas D. Singer: Yes. Good questions, James. In terms of Europe, I mean we can't really give you an underlying number as you're suggesting. You're right to say that there are some tough comps up in Europe in the quarter, most notably the month in Olympics. But what we're encouraged by is that, notwithstanding that, we still posted a positive number and generally, the momentum in the business in Europe is good. We talked in Germany about the additional deals we've just signed, which, again, gives us encouragement that Germany continues to be a very important growth market for us within Europe more widely. The second question about Americas and the high level of occupancy, we're currently enjoying. It is actual [ph] close to a 10-year high. We'll have to see how that develops over time. I mean what it does mean is that increasingly, RevPAR gains are coming through people driving rates. And that tends to be better for owners because they get the incremental benefit without necessarily having to incur additional costs at the hotel level. So again, important to note that it continues to be a fairly benign environment in terms of the Americas picture. Lastly, on the O2, or the new InterContinental in London, it's up by the O2 Exhibition Centre. It's a new build hotel. It has some 452 rooms, and it's planned to open in 2015 as a franchise hotel. And if you want any more details, then get back in touch with us after the call and we'll happily provide them.
Operator: Our next question comes from the line of Jamie Rollo of Morgan Stanley.
Jamie Rollo - Morgan Stanley, Research Division: Just 3 questions, please. First, could you remind us sort of very roughly, what the upfront signing fees are when a hotel plans or joins the signed pipeline? Secondly, could you just talk a little bit more about the weak September RevPAR numbers in the U.S.? I know you've talked before about the sort of big box mechanics for the Holiday Inn brand. But the numbers you gave us 1 week ago show that Express is also quite weak in September, up 1.7% and weaker in the upper mid-scale segment. So is there anything at all in the Holiday Inn family that's causing that weakness, or do you think it's just the group business? And then finally, I did think I heard correctly, did you say there's a 20% increase in rooms under construction year-on-year, or I heard a 20% figure around the pipeline?
Thomas D. Singer: Thanks, Jamie. Just to deal with your questions in order. I mean, the signing fee's typically around $50,000 a hotel, that's the sort of average for a Holiday Inn. For bigger deals the upfront fees can be higher than that, and that's pretty normal for the market as a whole. In terms of your second question, about the September numbers in the U.S. Again, important to note here that we did have a number of public holidays early in the month of September. And as we just explained before, for Holiday Inn, which -- it tends to be larger than its mid-scale competitors and it's the only full service brand with significant meeting space. In those holiday periods when you get a lot of group business that gets canceled or deferred, Holiday Inn, as a brand, tends to get disproportionately hit. And we saw exactly the same situation at around Easter of this year, where Easter fell in the month of March and we saw a relatively low RevPAR growth number for the brand in March. And it came back very strongly in April. And that's, again, evidenced in September with the public holidays in September. In terms of Holiday Inn Express, I mean it is a brand that continues to outperform its comp set. And clearly, in terms of being able to push the brand to perform at even a higher level, it's hard to do that. And it's already at a significant premium of some 7% to its direct competitors, so it's performing strongly. In terms of the last question, the number that I was quoting was signings. So signings were up 20% in the quarter relative to the comparable period. And the proportion in under construction remains stable, between 40% and 45%.
Operator: Our next question comes from the line of Tim Barrett of Nomura.
Timothy Barrett - Nomura Securities Co. Ltd., Research Division: A quick question on the outlook. You've talked about supply-demand dynamics. But in terms of Holiday Inn and the issues there, is there any sign of the longer duration group bookings for 2014 starting to pick up? And also similarly, any one-off factors that we should be aware of for the fourth quarter around Jewish holidays or anything like that? And then just a second question on Europe. It looks like the numbers you quoted for France and Germany, both below the European average. I was just wondering which geographies outperformed within Europe.
Thomas D. Singer: In terms of the outlook, I mean, there's nothing specific to say in relation to Holiday Inn, I mean again, we have a fairly limited forward visibility, fairly short forward booking periods. And again, the Holiday Inn brand tends to cater for smaller groups, not the big conferences. So again, we're seeing good momentum in that business for the balance of the year. In terms of the holiday pattern in Q4, there's nothing particular to single out at this point in terms of what's likely to impact that. And the only other thing, maybe just to mention, is in the U.S. you obviously had the U.S. government shutdown, which marginally impacted October. But certainly, it didn't affect us to the extent it would have done some of our competitors who have much higher proportion of government business in the mix. I mean in terms of the other point you make in terms of our Europe performance, we've given you some stats in terms of how the key countries in Europe performed for us. And generally, we're happy with how they performed. Again, there were some tough comps, in particular for the U.K. and for Germany, but the underlying momentum in those particular countries for our business is good.
Timothy Barrett - Nomura Securities Co. Ltd., Research Division: Okay. But does that imply that Southern Europe or other parts of Europe are the ones dragging the average up?
Thomas D. Singer: Well again, it's -- Southern Europe, for us is not particularly material, so it doesn't impact us particularly. At the end of the day, it's 1 quarter. And as I say, we just give you a little bit of color in terms of the principal countries, but there's nothing really more to add in terms of more detailed color on individual country markets.
Operator: Our next question comes from the line of Geoffrey Collyer of Deustche Bank.
Geof Collyer - Deutsche Bank AG, Research Division: I'm just going to ask one quick one. The InterContinental new signing by the O2, I thought most of the InterContinentals were managed. What was the rationale for doing it on a franchise basis?
Thomas D. Singer: You're right. In terms of, whether an owner wants to do it on a managed or franchised basis, it just very much depends on the owner circumstance. I mean this is a good owner, who has got a good track record of running hotels, so we were quite comfortable doing it on a franchise basis. So we're looking forward to having another InterCon in London, and as I said, should be another good flagship for the brand in the capital.
Operator: Our next question comes from the line of Ian Rennardson, Jefferies.
Ian Rennardson - Jefferies LLC, Research Division: I'm just looking at the rate of growth in your pipeline and the attrition rooms removals. I'm wondering when you might meet your rooms growth target of 3% to 5% annually. When do you think that might happen?
Thomas D. Singer: I think the pipeline is growing. We've got good signings performance right now. It's really a function of where we are in terms of broader financing conditions. If they continue to improve materially over the next few years then, over time, we'll be able to grow the pipeline and that will progressively convert into openings. So I'm not going to speculate as to when the rates of openings will pick up. But it is very much tied to general improvement in financing markets.
Ian Rennardson - Jefferies LLC, Research Division: So for '14 and '15, are we looking for another 1% or so, is that a fair assumption?
Thomas D. Singer: I'm not going to comment in terms of specific growth rates, there is no guidances in terms of forward system size growth. As I've said, the key determinants are economic growth in the wider economy, business confidence. If owners feel confident, then they will commit capital to opening hotels. And general bank financing conditions. Those are the principal determinants of the rates of growth over the medium to longer term.
Operator: Our next question comes from the line of Komal Dhillon of JPMorgan.
Komal Dhillon - JP Morgan Chase & Co, Research Division: Just a quick question, please, on the InterContinental in Paris. Is there any particular reason why the RevPAR declined in Q3, I'm just saying in the context of competitors up in midscale hotels -- well upscale hotels are quite strong for some of the competition, particularly in Paris, so just any color on that, please?
Thomas D. Singer: Yes. The only thing maybe just to point out is that Ramadan fell a little bit earlier this year in terms of the quarter, and therefore, that meant that there were fewer Middle Eastern guests coming to the hotel in the quarter. They did not travel on holiday prior to Ramadan, and also, it's also to do with the timing of the Paris Motor Show, which is a biannual event, which took place in 2012 and not in 2013.
Operator: We currently have no more questions on the line.
Thomas D. Singer: Okay. Well, thank you very much for joining the call today. If you -- perhaps, if you have anything else you'd like to ask us, then please feel free to call either Catherine or Isabel in the IR team. Otherwise, I wish you a good day.
Operator: Ladies and gentlemen, thank you very much for joining. You may now replace your handsets.